Operator: Welcome to The Brink’s Company's Fourth Quarter and Full Year 2018 Earnings Call. Brink’s issued a press release on fourth quarter and full year results this morning. The Company also filed an 8-K that includes the release and the slides that will be used in today’s call. For those of you listening by phone, the release and slides are available on the company’s Website at brinks.com. [Operator Instructions] At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Now, for the company’s Safe Harbor statements; this call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences is available in today’s press release and in the company’s most recent SEC filings. Information presented and discussed on this call is representative as of today only. Brink’s assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink’s. It is now my pleasure to introduce your host, Ed Cunningham, Vice President of Investor Relations and Corporate Communications. Mr. Cunningham, you may begin.
Ed Cunningham: Thanks Drew. Good morning, everyone. Joining me today are CEO, Doug Pertz; and CFO, Ron Domanico. This morning, we reported fourth quarter and full year results on both the GAAP and non-GAAP basis. The non-GAAP results exclude a number of items including our Venezuela operations, the impact of Argentina’s highly inflationary accounting, reorganization and restructuring costs, items related to acquisitions and dispositions, and costs related to certain accounting compliance matters. We also provided an announcement of our results on a constant currency basis, which eliminates changes in foreign currency exchange rates from the prior year. We believe the non-GAAP results make it easier for investors to assess operating performance between periods. Accordingly, our comments today including those referring to our guidance will focus primarily on non-GAAP results. Reconciliations of non-GAAP to GAAP results are provided in the press release and intended for the slides we are using today and in this morning’s 8-K filing all of which can be found on our website. Finally, page three of the press release provides details behind our 2019 guidance including revenue, operating profit, non-controlling interest, income-taxes and adjusted EBITDA. I'll now turn the call over to Doug.
Doug Pertz: Thanks, Ed, and good morning, everyone. Today, we reported strong fourth quarter and full year results including our 11th consecutive quarter of earnings growth, reflecting a 27% compounded annual growth rate in operating profits since 2016. These strong reported results included significant unfavorable FX headwinds for the full year that hit us hardest in the fourth quarter. Strong profit growth in Mexico and our U.S. based business was supplemented by $28 million of operating profit from acquisitions, helping us to boost our full year margin rate by 130 basis points to 10.1%. Over the first two years of our strategic plan, we have increased our margin by 270 basis points and the U.S. business margin by over five and a half margin points. Also, during the 2018 year we increased our non-GAAP free cash flow by over $100 million. I’m going to cover our fourth quarter and dull year results in more detail. I’ll also cover our 2019 guidance and briefly discuss the next phase of our strategy and its expected impact on results in 2019. The Ron will provide a more detailed financial review and update our plan amendment to our bank credit agreement and our share repurchases. Turning to slide four, we reported fourth quarter revenue growth of 5%. In constant currency, revenue growth increased by 16% including organic growth of 7% and 9% growth from acquisitions. The unfavorable effects impact in the fourth quarter was greater than the other three quarters in 2018, negatively impacting reported revenue and profit. Further, while the Argentinean Peso exchange rate versus the U.S. dollar during the fourth quarter was favorable versus the updated 2018 guidance that we provided during our third quarter earnings call, this favorability was offset by weakness in our other currencies. Reported operating profit was up 15% reflecting a margin rate increase improvement of 90 basis points to 11.4%. In constant currency, profits rose 44%, including 37% of organic improvement from our strategy 1.0 breakthrough initiatives and another 7% of inorganic growth from our strategy 1.5 acquisitions, including the first quarter that was a full quarter of contributions from our recently acquired Dunbar operations. Reported EBITDA increased 13% and 35% in constant currency. Reported earnings per share increased 11% and 46% on a constant currency basis. As I stated earlier, the impact of currency translation hit hardest in the fourth quarter, reducing reported revenue by $96 million and operating profit by $27 million. In fact this $96 million revenue decline in the fourth quarter alone representing 50% of the full year revenue impact from negative effects with most of the decline attributed to the Argentinian Peso. As a global company with operations in 41 countries, it’s important to highlight constant currency results, because we believe that more -- more they more accurately reflect the operational performances of our businesses. Our international operations transact business almost entirely in local currency, with revenue and almost all expenses in that local currency. Our financial reporting for four financial reporting purposes, our local currency reflects results, are translated into U.S. dollars. Therefore, almost all of our FX exposure is translational. Turning to slide five, and our full year results. Reported revenue increased by 8%, including organic revenue growth of five -- including organic revenue growth of 7% with acquisitions adding another 7% of growth, offset by $192 million or 6% of unfavorable FX impact. Reported OpEx increased by 23% with a margin rate of 10.1% up 130 basis points over our strong 2017 full year results. Op income grew by 48% on a constant currency basis, offset by 25% of unfavorable effects impact, which reduced operating earnings by $70 million. Adjusted EBITDA grew 20% to $512 million, and reported earnings grew 14% to $3.46 per share. Earnings, which were up 44% in constant currencies, reflect an effective tax rate of 34.2%. As we disclosed last May, when we announced the Dunbar acquisition, we expect further tax reductions, tax rate reductions going forward. Ron will cover the additional detail of our tax rate outlook in a few minutes. Turning to side six, let’s review our results by segment. In North America, we reported fourth quarter revenue growth of 36% and operating profit growth of 64% including a margin rate increase of 200 basis points to 11.3%. This strong performance was driven by profit growth of 123% in the United States, which now includes the Dunbar business and 37% organic growth in Mexico. The full yearly revenue increase of 17% includes 5% organic growth and another 12% or $153 million of revenue growth, primarily from the Dunbar acquisition. Full year reported profits in North America increased 75% on revenue growth of 17, reflecting a margin rate increase of 300 basis points to 8.9%. I’ll cover the U.S. results in more detail in the next slide, but first I wanted to call your attention to the continued outstanding performance of our Mexico operations. The Mexico team exceeded their aggressive 2019 margin rate goal of 15% a year ahead of schedule, with a 2018 full year margin rate of 16%, up almost 500 basis points over their 2017 rate. We’re confident that Mexico will continue to deliver double-digit revenue and profit growth with increasing sales to retail customers, as it continues to improve productivity and reduce labor cost. As we begin 2019, our North America segment is positioned for another strong year based on continued improvement in both the U.S. and Mexico operations that should be further enhanced by profit growth in Canada as it ramps up services to the cannabis industry. In the fourth quarter, we announced an exclusive agreement with a canopy growth company, Canada’s largest cannabis producer to transport both product and cash from growers to formulations, to retail outlets. Revenue in 2019 from this agreement is expected to be approximately $15 million. Slide seven provides a closer look at our U.S. operations, which continue to be the single largest opportunity for profit growth and value creation. And with the addition of Dunbar, this opportunity is even more attractive in the future. The fourth quarter, in the fourth quarter, Dunbar – and the fourth quarter was Dunbar’s first full quarter as part of Brink’s, which is the primary reason why revenue increased by 54%. Operating profit for the quarter more than doubled, from $13 million to $30 million with a margin rate increase of over 300 basis points to 9.7%. But excluding the positive impact from the Dunbar business, which had a margin rate on its own of 9.4% including, synergies, profits in our U.S. based business were outstanding up 53% with an even higher margin rate of 9.8%, an increase of 310 basis points over the pre Dunbar fourth quarter of 2017. Full year revenue in the U.S. increased 22% to about $950 million. Again, heavily due to the addition of Dunbar which added about $150 million in revenue, operating profit more than doubled from $29 million in 2017 to $64 million in 2018, reflecting a margin rate increase of 310 basis points to 6.8%. Excluding Dunbar, 2018 margins increased 270 basis points to 6.4% well ahead of our initial target exit rate of 6% for 2018. Our three year strategic plan for the U.S. disclosed in 2017 was to exit 2019 with a margin rate of about 10%. We’re on track to achieve this goal and much more. In 2021, when we achieved full synergies from the Dunbar acquisition, we expect to achieve a margin rate approaching 13%. The accelerating profit growth in our base U.S. business is primarily the result of the traction we’re gaining as we execute on what we call our breakthrough initiatives. This improvement will be further enhanced as we continue to combine the Brink and the Dunbar businesses. Here’s an update on Slide 8 on our breakthrough initiatives, we began in implementing in 2017 in the U.S. The execution of our plan to purchase and deploy 1,200 one-person vehicles by 2018 is well underway. Once completed, the average age of our U.S. fleet will decrease from about 12 plus years to about seven years. During 2017, we added 440 new trucks, bringing us to a combined deployment of 700 trucks at the end of that year, with another 325 trucks added in 2018. All of these trucks are capable of accommodating one-person crews, and the more recent additions feature our new design that allows replacement of only the chassis, not the more expensive armored body. As we replace chassis and reuse trucks bodies in the future, we will maintain lower fleet, maintenance and repair costs and also reduce future CapEx cost. The replacement of older trucks has resulted in more than $11 million in fleet cost savings to date. We’ve achieved another $17 million in labor cost savings over the last two years from our transition to one-person crews. On top of that, these more reliable trucks have improved our service quality level to our customers and have been widely accepted by our employees. We initially said the ramp up over CompuSafe sales growth in 2017 was slower than expected. However, I’m pleased to report that we received orders of over fifty three hundred CompuSafe in 2018, obviously easily exceeding our target of 3,500 orders and clearly demonstrating a strong ramp up in orders over the last several years from the 1,400 units in 2016. Of the 5,300 orders in 2018, 1,300 were from a single customer, supporting our deeper penetration of large multi-location users. Our CompuSafe service is also well-established and gaining traction in many global markets, including France, Mexico, Brazil, Israel and other global countries. Our global installed base is approaching 36,000 units with roughly a third of those outside the U.S. On last quarter’s call we said that the U.S. business had reached an inflection point in terms of its upward profit trajectory. The U.S. business was less than break even during the first half of 2016; with limited believe by investors that it could ever be a high performing business. Our fourth quarter and full year results clearly enforce our conviction that this business has turned the corner. We believe, more strongly than ever that the Brink’s and Dunbar, together will prove to be a powerful combination that will continue to deliver substantial, profitable growth and close the margin gap by 2021. Turning to slide nine to South America. Our operations in South America performed well in the fourth quarter and throughout 2018. Though our reported results do continue to be significantly affected by negative currency translation, primarily from the Argentinian peso and to a lesser degree the Brazilian real. The impact of FX translation in the fourth quarter was greater than the prior quarters, as we said earlier, contributing heavily to the revenue and operating profit declines on a reported basis. However, on a constant currency basis, fourth quarter revenue was up 13% and profits up 29%, and most importantly, our margin for the quarter increased 70 basis points to 22.7%. Our full year revenue was flat on a reported basis and operating profit increased 9% with a margin rate increase of 160 basis points to 21.4% for the full year. In constant currency, our full year revenue in South America was up 23% on organic growth of 16% and 8% growth from acquisitions. Constant currency operating profit increased 46% with organic growth of 37% and 9% from acquisitions. Our margin increases in both the fourth quarter and full year boosted our already high margin rates from a year ago, offering further proof there are in country operations continue to perform at high levels and that we continue to achieve operational leverage with our strategic initiatives implementation. On the acquisition front, we finally closed the Rodoban acquisition in Brazil on January 4th, almost a year after original -- we originally announced it. Rodoban generated approximately $76 million in revenue last year, and we expect the acquisition to be accretive to net income in 2019, with a target post synergy purchase multiple between six and six and a half times of EBITDA. We recently signed agreements to acquire three more core businesses in South America; one in Colombia, and two smaller asset purchases in Brazil that combined for a total revenue of approximately $30 million. All three are expected to close in 2019 and are not included in our 2019 guidance. This brings total closed and announced acquisitions since 2017 to 13, all core businesses and in core geographies. Slide 10, the rest of the world segment. Fourth quarter reported revenue declined 10% and while reported operating profit was up 2%. However, excluding dispositions and FX, reported revenue was actually up 2% and profit was up 4%. The primary disposition was the adjustment for our guarding business in France. In France, fourth quarter revenue increased by 1% excluding the sale of the guardian business, and FX and operating profit was slightly -- was up slightly versus last year. The yellow jacket or the yellow vest protest in the quarter had some impact on the results, however indications are that this impact does decline in the New Year. The combination of more favorable market conditions already implemented cost reductions, acceleration of Temis synergies and increased sales of higher margin solutions that position France well for an improved 2019. Outside of France, our businesses in Europe and Asia continue to perform well. Turning to slide 11. We’re now two years into our three year strategic plan. Our strategy 1.0, which focuses on driving organic growth and margin expansion, is on track to deliver operating profit of $310 million and EBITDA of $480 million, representing a compound annual growth rate of around 12% without the additional negative impact -- without the additional impact of acquisitions. On top of strategy 1.0, our strategy 1.5 is layering in additional profit growth of $105 million and EBITDA growth of $120 million from accretive acquisitions in our core business. On a combined basis, the overall results from these strategies in 2019 is expected to be $600 million of EBITDA, representing an annual growth rate of about 21% over the three year period. This dramatically exceeds the original planned target we provided in 2017 of $475 million in EBITDA, and this is net of the significant net negative impact of FX that we’ve had to overcome over these three years. Here’s an updated summary of our acquisitions to date, which build on our 1.5 strategy. It was only six quarters ago in mid-2017 that we announced our first major acquisition. By the end of that year, we have completed six core acquisitions for a total of $360 million. In 2018, we added Dunbar, and two small deals in Columbia and Cambodia. And on January 4th of this year, we completed the Rodoban acquisition in Brazil for a total of 10 completed deals so far. To repeat, our investment to date of approximately $1.1 billion were the 10 completed or closed acquisitions is expected to add $120 million of EBITDA in 2019 after partial synergies are gained from route density infrastructure overlap and efficiency improvements. Fully synergized, we expect to add about $180 million of EBITDA from these 10 completed acquisitions. We’re confident the combined impact of our 1.0 and 1.5 strategies will meet or exceed our targets. And that strategies and initiatives will continue to drive revenue and profit growth for our next and into our next strategic plan period. We’ve already begun working on the next layer of our plan. It’s probably no surprise that we’ll call it strategy 2.0. Our new strategies are focused on one, increasing our share within our existing customer base by offering a broader array of high margin, high value services that address the total cash ecosystem, including tech enabled solutions, and increased outsourcing. And two, expand their reach to new, unvended and underserved customers in the cash ecosystem with similar tech enabled solutions that offer complete cash management services, competitive with credit card offerings. To accelerate the introduction on our strategy 2.0 services, we plan to make 2019 investments of about $20 million in operating expenses to fund a variety of product, IT, sales and marketing initiatives. This includes OpEx expenditures and headcount to support our customer facing app, portal development and other tech enabled services. This will also include OpEx spending to develop and test new products, and to strengthen our global sales and marketing organizations. Beginning in 2020, we expect a payback on these investments in the form of higher organic revenue growth and at higher margins. It is important to note that our primary investment in strategy 1.0 initiatives was higher CapEx to purchase long live assets such as, new trucks and high speed money processing equipment. These CapEx investments depreciated over time have yielded significant returns and have resulted in cost reductions in higher ongoing margins. As we’ve stated, after the onetime Dunbar capital expenditures, and as we enter the new strategic plan period, we expect our annual CapEx to return to the 4% to 4.5% of revenue range. Our strategy 2.0 investments will be materially less than our 1.0 investments, but will be mostly in the form of upfront OpEx investments. Let’s turn to guidance. In prior years, we’ve updated our guidance to include FX rates as of year-end for all countries except Argentina, where we have maintained our assumption that the average exchange rate for the Argentina peso versus the U.S. dollar will be 45 to 1. The change in FX rate since we provided our preliminary 2019 guidance negatively impacted the 2019 revenue projection by approximately $50 million and 2019 operating profit projection by approximately $7 million. Based on these rates, we are estimating a negative currency impact on 2019 revenue and operating profit versus 2018 of $190 million and $60 million respectively. It’s important to point out, that while inflationary pricing -- price increases in Argentina are on schedule, we do not expect a full recovery of the devaluation in our U.S. dollar reported results in 2019. Our Argentinean business continues to perform well on a local currency basis. However, on a reported basis, our 2019 guidance includes a profit decline in Argentina as reported in U.S. dollars, followed by a recovery to growth in U.S. dollars in 2000 -- in mid-2020. In the meantime, the global nature of our business gives us the resiliency to overcome this FX volatility and still deliver year-over-year profit growth of 20% or more. As presented in the last slide, on strategy 2.0, we expect to invest around $20 million in higher OpEx costs this year, to support our strategy 2.0 initial initiatives. We also expect to spend another $10 million on IT and related items to implement new internal operating systems to better support and increase productivity as well as the interface with new customer facing technologies. These costs include implementation of Oracle, Salesforce, Workday and other systems as well as enhanced cyber security. The total impact of these 2019 OpEx investments we anticipate will be approximately $20 million to $30 million. In summary, despite the substantial negative effects impact of 2019 versus 2018 actual rates, an additional operating expense investment that we just spoke to, and our guidance for 2019 includes revenue growth of 9% and operating profit growth of 20% to a midpoint of $415 [ph] million. We expect a year-over-year margin rate increase that to be close to 100 basis points to 11%. Our adjusted EBITDA is expected to grow by 72% to about $600 million and earnings are expected to decrease 21% to about $4.20 per share. Turning to slide 15. This slide shows the dramatic Op income of profit increase and margin improvement over the three year strategic plan, through including 2019 guidance. Even after the significant negative impact of FX translation in 2017, 2018 and projected in 2019, which is above what we have forecasted obviously in our strategic plan, we project that Op profit will approximately double over the three year plan period from $260 million to about $415 million at the midpoint of our 2019 guidance. This growth represents an approximate 25% compounded annual growth rate and income improvement of approximately 360 basis points. Key drivers as shown on the chart, are the turnaround of the U.S. business with dramatic margin improvements and organic growth in Mexico, strong organic growth and margin improvements in South America. All these are part of our 1.0 strategy and initiatives. Acquisitions 10 completed to date, three more announced, all part of our 1.5 strategy that will have continuous synergies after the first three year strategic plan ending in 2019. And note that 25% earnings compound annual growth rate is being achieved even with a significant negative impact of FX and the increased non-cash cost of higher equity compensation. That is the reward for strong performance to our management. I’ll now turn over to Ron for his financial review including more of the drivers of our full year results and assumptions behind our 2019 guidance and our strong cash flow outlook, as well as look at our plan debt structure and borrowing capacity.
Ron Domanico: Thanks, Doug and good day everyone. I’m going to provide some additional detail on our full year 2018 results and our guidance for 2019 including free cash flow, net debt and leverage. Looking at our 2018 results. Reported full year 2018 revenue was $3.4 billion versus 2017 organic revenue growth was 7% or $223 million. South America grew 16%, North America grew 5%, and the rest of the world grew 1%. Acquisitions, net of dispositions drove an additional $213 million of growth with approximately $151 million from Dunbar, $61 million for Maco and $42 million from Temis partly offset by negative $50 million from the disposition of our French aviation guarding business. Translation ForEx impacted revenue negatively by $192 million, due primarily to the strengthening of the U.S. dollar versus the Argentine Peso and the Brazilian Real partially offset by a stronger Euro. On the right side of this chart, you can see that full year 2018 non-GAAP operating profit was $347 million, excluding the impact of ForEx constant currency operating profit was up 48% or $135 million versus prior year. The increase was driven by $107 million of organic growth and $28 million from acquisitions, net of dispositions primarily for Maco, Dunbar and Temis. Currency translation for the year was $70 million unfavorable due mostly to the devaluation of the Argentine Peso with some additional negative impact from the Brazilian Real and Mexican Peso, versus our 2018 guidance on October 24, the Argentine Peso was slightly stronger than the Brazilian Real and the Mexican Peso were slightly weaker resulting in negligible ForEx impact. Even with a significant unfavorable ForEx versus 2017, reported full year 2018 non-GAAP operating profit was up 23%. In the United States operating profit excluding Dunbar grew 78% and combined with continued revenue and margin expansion in Mexico drove the 65% organic growth in North America. South America grew organically by 37% led by Argentina, Brazil and Chile. The rest of the world was down 4% organically with lower results in French offsetting improvements in Asia-Pacific and the rest of EMEA. Corporate expenses increased $5 million versus 2017 primarily due to $11 million and higher non-cash stock-based compensation expense. In 2019, we expect a similar increase in stock-based compensation as we approve the final year of the rolling three-year long-term incentive program initiated in 2017. We also continue to invest more on IT to improve security and introduce differentiated services. These increases were partly offset by lower bad debt and the new royalty income from our home security brand license agreement with Monitronics. Moving to slide 18. This slide bridges operating profit, income from continuing operations and then to adjusted EBITDA. The variance from prior year is shown at the bottom of the slide. Full year operating profit of $347 million was reduced by $64 million of net interest expense, $97 million in taxes and $7 million in non-controlling interest to generate $179 million in income from continuing operations. Net interest was $31 million higher than last year reflecting the higher net debt used to finance the Dunbar, Temis and Maco acquisitions, combined with higher variables interest rates. Taxes were up $12 million versus 2017 due to higher income. Our 2018 non-GAAP effective tax rate was 34.2%, down almost 300 bps from the 37% we were forecasting. The improvement was driven largely by proactive changes in our capital allocation structure which enabled reductions and withholding taxes on cross-border payment and increase statutory earnings in the United States which benefited from the 21% U.S. federal tax rate. In 2019 with increasing profitability in the U.S. driven by continued organic improvement the addition of Dunbar and the realization of integration synergies were forecasting our 2019 ETR at 33%. We expect our effective tax rate to reduce further as Dunbar is fully integrated. Non-controlling interest reduce profits by $7 million. We expect non-controlling interest to be marginally lower in 2019 due to the buyout of our minority partner in Columbia which was completed during the fourth quarter. As I mentioned, full year 2018 income from continuing operations was $179 million, which was $3.46 per share, up 14% from $3.03 per share in 2017. Depreciation and amortization of $142 million was up around 5% versus last year and 2018 adjusted EBITDA increase $87 million or 20% to $512 million. Turning now to our 2019 guidance. On this slide operating profit is represented by the blue bars, depreciation and amortization and other is represented by the grey bars and adjusted EBITDA is the sum of the two. In 2018, we generated $347 million of operating profit and $512 million of adjusted EBITDA. At the midpoint of our 2019 guidance, organic operating profit would grow approximately $95 million or 27%, with strong growth in the U.S., Argentina, Brazil, Mexico and France. As Doug mentioned, this growth is net of the $20million to $30 million of OpEx we plan to invest to drive the next phase of our strategy. Acquisitions net of divestitures would add another $33 million, reflecting the impact of the trailing 12 months results for both Dunbar and Rodoban. Combined constant currency operating profit is expected to grow 37%. Our 2019 currency assumptions are based on 2018 year-end actual exchange rate plus additional devaluation in Argentina which will result in a 2019 average of 45 pesos to the dollars. This could generate $60 million in unfavorable translation ForEx versus 2018. Our 2019 guidance for operating profit is a range of $405 million to $425 million and our 2019 guidance for adjusted EBITDA is $590 million to $610 million. Higher operating profit is expected to be reduced by higher interest expense in taxes and results in 2019 EPS guidance of $4.10 per share to $4.30 per share. At the end of 2017 there were 18.5 Argentine Pesos to the dollar. At the end of 2018 the rate was 37.5. In one year the peso devalued over 50% and our 2018 U.S. dollar results from Argentina were reduced drastically. As Doug mentioned, our 2019 guidance assumes further devaluation of peso to an average exchange rate of 45 for the year. Nevertheless, inflation driven price increases are on track to restore U.S. dollar profitability to new highs in four to six quarters. Let’s moved to slide 19 and free cash flow. In 2018, we generated $166 million of non-GAAP free cash flow, almost triple the 2017 amount. The 2018 free cash flow was about 10% below target due to working capital and the timing of tax refunds, partly offset by lower CapEx from delivery delays. Working capital improvement, specifically collection of receivables measured in days sales outstanding continues to be a focus and we will continue to work diligently to overcome the commercial challenges we face from customers looking to expand payment terms, especially in RFPs and tenders. Our 2019 free cash flow target is $220 million, up $54 million or 33% from prior year. The expected increase reflects higher EBITDA in the timing of tax refunds partly offset by acquisition, integration costs, higher interest expense and increased capital expenditures related to the Dunbar and Rodoban acquisitions. The Dunbar acquisition is not expected to materially contribute to free cash flow until mid-2020. We expect capital expenditures excluding capital leases but including incremental related to Dunbar and Rodoban to be around $190 million in 2019, up from approximately $155 million in 2018. There is additional detail in the appendix. Moving to slide 21. To facilitate the continued execution of our strategy, we’ve received lender commitments to amend and extend our credit agreement to increase capacity and reduce interest expense. The amended agreement will expand our current loan A from $467 million currently to $800 million, reduce the rates and the pricing grid and extend the maturity to five years from the date of closing. Our secured revolving credit facility will remain at $1 billion. The term loan A will amortize 5% per year and the interest rate will be based on LIBOR plus the margins that fluctuate based on our financial leverage. The terms of the new agreement will include a margin rate that is a minimum of 25 bps lower than previous financing. We expect the opening interest rate to be approximately 4.25% and we’ve executed a floating to fixed interest rate swap for $400 million, half of the new term Loan A, the amend and extend agreement should close some time in the coming weeks. Turning to slide 22. This slide illustrates our net debt and leverage position both historically and assuming synergies through 2020 from closed acquisitions. As of December 31, 2018, our net debt was $1.2 billion, up about $600 million from year-end 2017 due to acquisitions and $94 million of share repurchases offset by the free cash flow discussed previously. To-date, we have repurchased around 1,345,000 shares at an average price of around $59 per share. There is now $106 million remaining for share repurchases under our $200 million authorization that expires December 31 of 2019. If we achieve our 2019 cash flow target and completing another $245 million of acquisitions in 2019, our net debt would be approximately $1.3 billion at the end of 2019. The acquisition adjusted EBITDA that includes trailing 12 months fully synergized EBITDA through 2020 would be around 2.2 turns at the end of 2019. With that, I’ll turn it back over to Doug.
Doug Pertz: Thanks, Ron. In closing I want to reiterate that despite currency headwinds in 2018 we delivered 23% operating profit growth on a reported basis and 48% growth on a constant currency basis with a margin improvement of 130 basis points In 2019 with the additional operating expense investment of $20 million to $30 million that I cover earlier, and another $7 million hit from the negative currency versus the [Indiscernible] 2019 guidance we provided in the third quarter. We expect to deliver another year of 20 plus percent operating profit growth with a margin improvement of another 100 basis points to around 11% margin. We’re confident that the growing margin improvement and profit momentum in the U.S. and Mexico will continue, demonstrating our resilient inherent in our global business. Mexico has more than double profit in the last two years. And let’s not forget that about three years ago our U.S. business was not making money. In 2018, this last year we made $64 million in the U.S. and we’re on track to make that $100 plus million in 2019. In 2019 and beyond we’ll remain focused on executing our 1.0 and 1.05 strategies to drive additional revenue and margin growth. And we look forward to sharing more about our 2.0 strategies later this year to continue to layer on more growth into the future. Thanks. And now, let's open it up for questions.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Jamie Clement of Buckingham. Please go ahead.
Jamie Clement: Hi. Good morning gentlemen.
Doug Pertz: Good morning, Jamie.
Jamie Clement: Doug, when you mentioned under Strategy 2.0, new unvended and underserved customers. Are you talking about in your traditional customer base of financial institutions and retail? Or you’re talking about moving into new areas? Can you expand on that a little bit more?
Doug Pertz: Yes. We specifically talked about it into two different areas. One of those areas is to expand the services into our existing customer base if you will, to penetrate if you will those customers more, but also to expand the offerings and the value that we create with those offerings to offer a broader array of services to really service their complete, what we call the complete cash ecosystem of needs. So that’s the combination with retail customers expanding what we offer them, as well as to FI customers with additional outsourcing and to work with them and say, where are your best source to provide services at the best value for anything related to the cash business. The second piece and that is to take and expand into what we call the unvended portion of the business, as well as the underserved portion of the business to customers that we don’t serve today. And frankly that most of our industry does not serve today. That’s unvended. And do that again through higher value services, unique tech enable services and with better value. And I think you probably heard me say a little bit better in there to really focus on the credit card business and industry and the services they provide. They've outperformed us in those services and us being our industry as well as us and that’s our focus. If we can provide services that are hassle free, equivalent or better to them at better value I think we’ll gain significant new customers and new business through the cash industry.
Jamie Clement: And Doug, when you talk – when you -- on the last part of your comments, as it relates to the credit card industry, is your go-to-market focus is the underlying idea here sort of like you want to make cash cheaper to deal with, cheaper to consume or transacting for your customers than credit card companies are charging? Or is there a lot more to this than that?
Doug Pertz: Well, there’s more to it than that. It's not just about pure cost. Well, I frankly think that generally, depending on the size of the customer that the cost of the services we provide today probably is less than what the cost is for what credit card companies provide. But I think that we need to as an industry and as a company makes sure that we provide similar hassle free services, which means, we need to provide a broader array of services to that cover the whole cash ecosystem for those customers. So, if a customer looks at how they get the services what they pay for and how easy it is so to speak with credit card we need to make sure as an industry that we do the same and we do that at competitive rates and a easy way to do business fashion.
Jamie Clement: Great. And then one follow-up and then I’ll get back in queue. Guys, you know, typically when companies have plenty of borrowing capacity and then upside their borrowing capacity there’s often an acquisition or several in mind, what are odds that we may see a similar kind of total investments than on acquisition -- acquisitions in 2019 than we saw in 2018?
Doug Pertz: Well, I think we’re clearly…
Jamie Clement: Which would be a big year?
Doug Pertz: Yes. So I think we clearly have in mind several acquisitions that we want to do. We don't know what they will specifically be at this point in time. But we clearly are continuing to make sure that we have the capacity to do additional acquisitions that we've done in the past. Whether they’re going to be the same size and to the same level that we did in 2018? We don’t know that yet. We don’t -- we’re not ready to announce something or suggest that there is. But we’re certain are preparing to continue to do. We’re done in the past and meet or exceed the investment in acquisitions that we’ve laid out.
Jamie Clement: Okay. And then, hey, Ron, quick, net sort of pro forma for the upsizing and the interest rate swap. What's going to be your rough percentage mix between fixed and floating once all this is done?
Ron Domanico: Well. Right now it would be 70% based on the ability to generate additional cash flow as we’ve laid out in the guidance that will work down and we’ll be right there. But we feel that the current rate at 4.25% locked in for five years was prudent regardless of what the Fed decides to do. 
Jamie Clement: Okay. Thanks very much. Appreciate it.
Ron Domanico: Thanks, Jamie.
Operator: The next question comes from Tobey Sommer of SunTrust. Please go ahead.
Tobey Sommer: Thank you. Could you comment on -- elaborate your comments on pricing in your major market. You’re already, I think kind of touched on Argentina pretty well. But just curious how you’re doing in your other major markets? Thank you.
Doug Pertz: Sure. Thanks Tobey. We don’t necessarily disclose specifics on each of the markets, but we've seen price increases as we’ve talked about in the fourth quarter – excuse me, in the third quarter that in the U.S. market we’ve had price increases generally implemented in the early fourth quarter of the year that were similar to the prior year and are in line with, if not better than most of our cost increases. Similar sort of implementation of pricing in Mexico which help support our strong volume gains there as well and it varies beyond that. Generally Brazil is similar to that too.
Tobey Sommer: Okay. When you look at the acquisitions how would you characterize the mix of acquisition opportunities between route-based that we’re most familiar with versus the core what you do in non-route based assets?
Doug Pertz: I guess, we don’t really look at in terms of route-based versus non-route-based. We look at whether they’re in core businesses, cash management which obviously everyone we've done so far does have some aspect of route-based in them except for the cash piece that in our Brazilian acquisition. But the core businesses really are cash management of global services or high-value transportation and then payments related to our cash business. So those are three core businesses and all of our positions have been in those to-date and all have really been in core geographies to-date as well, so that's really the way that we look at them rather than route-based versus non-route-based. We look at our business particularly in the cash side is moving to high margin, more higher margin than we’d had in the past and more recurring revenue sticky businesses. We think our strategies that we’ve laid out, including CompuSafe, obviously, but our strategies, we’re talking about, laying out and we'll talk more about that later this year will be very much focused on improving margins and stickier long-term contracts with our customers, higher recurring revenue streams, but all that is because we will provide higher value and better services to our customers.
Tobey Sommer: Great. You mentioned CompuSafe during your prepared remarks that it kind of I thought of asking a question on that. Is your prior articulation of the total addressable market in the U.S. still holds; because that was a big step function up in orders in 2018? So do you think that’s market share driven or are you seeing effectively kind of bigger opportunities? Thanks.
Doug Pertz: Well. I think that’s why did point out that we did to receive a sale in the fourth quarter and order in the fourth quarter of 1300 units. So out of our 5300 that we’ve obtained in the year was a single year multiple, obviously, multiple branches and outlet, but that’s indicative I think of what we’re seeing. Those take longer to gestate. But I also think that the -- we’ll see more of those going forward. And the value that can be created for customers will certainly be something that we see tremendous opportunity going forward. So, I think that the opportunity and the penetration is very similar to what was said before, probably around 20% penetration in the marketplace in the U.S. lesson that on a global basis, but the value creation I think for customers is probably more understood now and certainly as we in particular pursue that along with the Loomis and others in the business in the U.S. it will get – it will to gain actually -- this solution will gain greater visibility in the marketplace. And I think we’ll drive more sales as this is -- for this as a solution.
Tobey Sommer: If I could just ask one follow-up on the pricing, then I’ll go back in the queue. How would you characterize and assess the risk of kind of bad actors triggering episodes of pricing pressure versus when you took the helm of the company and that specifically have kind of the -- what the market and industry endured in France last year and a half, two years in mind?
Doug Pertz: Yes. I think in general it’s improved over the last two years or so, that the risk associated with that and you can go by country or region anyway and I think it's improved. I think our acquisitions -- some of our competitive acquisitions in the marketplace have improved that positioning. But there's always the situation like we ended up in France that would not necessarily be expected. But I think in general overall its improved.
Tobey Sommer: Do you expect margins to start rebounding in France here this year?
Ron Domanico: I think we clearly said that. Yes. We expect margins to improve. We expect our profitability to improve.
Tobey Sommer: Thank you very much.
Ron Domanico: And key drivers of that as I’ve laid out there is not just about pricing. It's a mix of our business and our solutions that we sell and some mix of our synergies that we’ll be gaining on the cost side from both the Temis acquisition as well as the strategic plan, cost reductions that have already been laid out that are now being implemented this year. So pricing is one piece of those. But the real key piece is it's a combination of things that we think will improve our margins going forward this year.
Tobey Sommer: Thank you very much.
Operator: The next question comes from Jeff Kessler of Imperial Capital. Please go ahead.
Doug Pertz: Good morning, Jeff.
Operator: Mr. Kessler, your line is open. Please go ahead with your question. Is your muted accidentally? Okay. If I may, I’ll go to the next question. The next question comes from Ashish Sinha of Gabelli & Company. Please go ahead.
Ashish Sinha: Hi. Good morning. Thanks for taking my question. I’ve got a few. Hi. So, I wanted to stick to North American and starting with growth. So could you maybe talk about the breakdown of volume and price within that growth? And then since you talked about that large order for CompuSafe in the fourth quarter. Could you split growth by CompuSafe, CIT and CMS, I mean, the background for asking my question is your peer who reported growth in the U.S., they said, they’re winning share. So I just wanted to understand is that -- is there a quarter nuance related to a quarter? Am I looking at a slightly shorter time frame? Or is there something more behind it i.e., any revenue leakage from Dunbar. Yes. That’s my first question.
Doug Pertz: Well, that’s a lot, Ashish. But I think, let’s take CompuSafe as a first piece. I think it’s not a question of share. I think it’s a question of market growth and penetration of that market. It’s a huge opportunity of a market as we talked about earlier. I think the fact that we and new orders of 5300 substantial greater that what we’ve had in the past. I think it's very consistent with what you probably heard from our competitor that you’re talking about out there. But it’s also consistent in the way that we pursue. We effectively are pursuing the industry. So we don’t see that as an issue of taking share versus one versus the other and we certainly don't feel that they’ve taken share from us in the CompuSafe side. We’ll win some business. We lose some businesses – business there, specifically in there and that’s the way it goes. But certainly we’re not going to apologize for 5300 unit orders and for a large order for 50 -- for 1300, and we think there is great opportunity there. We don't really report on a CMS. In fact I'm kind of hurt because that's not how we report. That’s our competitive method of reporting. But I think what you generally find is our percent of our business versus the U.S. competitor that you mentioned in our business in the U.S. is very similar to what theirs is in terms of that type of split, in other words, percent of business that is [Indiscernible] related etcetera is very very similar. So, we’re going in a similar fashion. I think part of the differences we’re going to see an acceleration of that for us going forward in this year 2019 because we have a stronger backlog from these orders that will be put into place in CompuSafe. Overall, in terms of pricing, we talked about that a little bit earlier. So, in the U.S. there's a good mix of price and volume which I think, combine will give us organic growth in the 5 plus percent range. Obviously CompuSafe will be stronger than that in 2019 and going forward. I hope that answers your questions?
Ashish Sinha: Yes. My second question is on U.S. margins where you talk about exiting 2019 at a 10% rate. You're basically exiting 2018 at 9.7%. So probably there’s a bit of Dunbar in there. But then in 2020…
Ron Domanico: No, actually – actually just for clarity on that, I don’t mean to cut you off. But just for clarity on that. One of the things we said and I don’t have a precise numbers off the top of my head, but we're in the 9 plus percent range in the fourth quarter that the U.S. operations without Dunbar or without synergies were actually equal to or above the Dunbar numbers and the Dunbar numbers on margin included synergies that were gain by us. So, if you recall, our trailing LTM Dunbar numbers on op income we’re in the 6.5% to 7% range. And this is for a full year, not without seasonality. So with synergies they were at about the same level as our U.S. operations were in the fourth quarter. I think that’ a very good sign that in fact without the impact of Dunbar or without the impact of synergies our U.S. operations were performing very well and the growth was very nice in margin improvement throughout the year. Now, turning back to your other points, of course, I'll now let you answer – ask the rest of the question. The exit rate in the year has to be a little bit tempered by seasonality. So the 9.8% that we have going out of this year in the fourth quarter is not necessarily we’re going to go into next year and that won't be indicative of what our margin rate should be increasing from. So, we go out and I think we’ve said in the past, next year for our full year margin, that's up with couple hundred basis points from what we were this year for the full year than I think that will give us the basis for the exiting at the type of level we’re talking about for a 10% overall in 2020, if that make a sense.
Doug Pertz: 2019 I thought 10%?
Doug Pertz: No, no. So in other words, if we exit next year to couple hundred basis points higher than we exited this year which will be north of 10%, it will be more then 10% we’re exiting next year, but the seasonality will suggest that throughout the full year next year we’re at least a couple hundred basis points over the full year for this year and we’ll be achieving our target.
Ashish Sinha: Yes, understood. So if you are at 2021, you're doing 13%, that’s your target on business of 1.2 billion and within that you've guided to synergies of 40 million, 45 million from Dunbar. So I just wanted to understand the differential piece. So, most of the heavy lifting in efficiency has been done? Or do you think there is a lot more you could do at – within the enlarge business?
Doug Pertz: Well, they get the 13%. There's a lot of heavy lifting both in terms of the synergies with Dunbar as well as the continuation of the improvements in breakthrough and another initiatives in our core business. And so this suggest that we’re right on track if not a little bit ahead in the core business. We’ve just started the synergy ramp-up. We anticipate that based on everything we see will achieve those $45 million in synergies and more which then if you combine those initiatives which we’re very highly confident that we’ll be able to achieve that we will achieve the 13% margins in 2021. And that will not be on 1.2 million to 1.25 million in revenue.
Ashish Sinha: But that will grow?
Doug Pertz: It will be on a number that has some growth on top of that which should be closer to 1.3 1.35 plus billion [ph].
Ashish Sinha: Yes. That’s why I’m eagerly awaiting your Strategy 2.0 because that’s like nearly doubling margins again, I mean nearly doubling or significantly increasing margin?
Ron Domanico: Well, I don’t we’re going hit 26% margins with 2.0.
Ashish Sinha: No, no, no.
Ron Domanico: I’m getting you, Ashish, but yes, that’s why we’re eagerly excited about rolling it out as well, because the objective of 2.0 simply as we laid out is to provide tech-enabled higher-value services, broad array of services that should help continue to drive our organic growth to higher levels than we've had so far. And then on top of that to increase our margins overall to higher margin business and more recurring revenue streams. So, we put all that together, our op income margins should be improved and our growth of organic should be increased over what 6% or so that we've kind of talked about 5 to 6% as what we’ve projected and our actual results have been closer to 7%.
Ashish Sinha: Yes, understood. Thank you.
Operator: [Operator Instructions] The next question comes from Sam England of Berenberg. Please go ahead.
Sam England: Good morning, guys, just couple from me, and the first one on the Dunbar integration. You mentioned in the release, it’s ahead of schedule. And I just wonder as you work through the integration whether you're seeing opportunities for increased synergies and whether we could see total increased synergy target on that deal looking ahead?
Ron Domanico: I guess, the best answer is yes. We do see those opportunities. We’re not prepared at this stage to change their guidance and numbers that are out there. But clearly review that the opportunities are there to exceed the $45 million that we’ve laid out as synergies over the next several years. And the 13% that we talked about is based on approximate that number.
Sam England: Okay. Has that been any surprises that you’ve gone through integration process [ph]? I suppose I was trying to get an idea of it why -- is it ahead of sort of the previous schedule? And where are I suppose the positives that happened during integration process?
Doug Pertz: Look, there are always positives and negatives and there always a few surprises. But I think the best way to look at this as we see the combination of their 70 plus branches and our 110 plus branches to provide us an opportunity to go to what we would consider the optimal network into the future we think the other than the normal type of synergies that you would expect in this type of combination we will be able to achieve additional synergies above and beyond that because of the potential optimization of a network that really is driven by more of a hub and spoke type of network going forward. So we think there’ll be more synergies that can be driven in the future related to that.
Sam England: Okay, great.
Doug Pertz: And in terms of being on track, we’re on track. We did close a little bit earlier than we would anticipated that gave us the ability to start the planning and processing, obviously and anything like this with key is integration of systems to support the two businesses then that allows us to combine the businesses sooner if you have the right systems support and therefore that's what we think we’re on track or little schedule based on that.
Sam England: Okay, great. And then the second one on the acquisition in Columbia, I think you’ve talked about in the past that there's some additional opportunities for that consolidation in that market. So, should we read into that acquisition that it could be the first sort of number in that market? Or was it just an opportunistic deal that they happen to come up?
Doug Pertz: Well, so, last year we did an acquisition, really the buyout of our minority partner. That gave us the base to be able to move forward with this acquisition that we have now signed. And it does provide the opportunity. This is to help consolidate the industry within -- with this player who is a competitor in the marketplace. And you can see that’s happening with some of our other competitors as well in the marketplace which we think will help where the overall market goes in Columbia.
Sam England: Okay, great. And then, so just looking at the sort of underlying markets in South America stripping away to sort of FX noise, which I suppose seems to be will add on to the focuses on. How is the different market performing from sort of a price and volume perspective across South America, if we sort of ignore what's going on with FX?
Doug Pertz: Yes. I'm pretty darn well as we said and as you take a look at our constant currency numbers. If you take a look at what our organic growth is. And as we said with Argentina, Argentina on a constant currency basis, on a local currency basis is really the best way to look it. On a local currency business, it’s doing well in terms of growth, profit margins, improvements in their operations etcetera. Columbia is doing well, as well Chile was improved and the integration of the acquisition we had for year and a half ago there is doing well. So, in general all those markets on local basis, local currency basis are performing to our expectations or ahead of those and that’s shown through the improvements in our operating margins which improved. And the leverage that we’ve achieved from both a revenue gains down to our operating margins.
Sam England: Okay. Thanks very much. That’s all from me.
Doug Pertz: Thanks Sam.
Operator: We have a follow-up from Jamie Clement of Buckingham. Please go ahead.
Jamie Clement: Hey thanks for taking my additional question. Maybe I’m getting too much into the weeds here, but I, with respect to revenue guidance, organic revenue guidance, coming off the fourth quarter 7% I think full year 2018 organic with 7%. Your guidance is 6%. I would have to assume, I mean, if you’re going to be getting even some of the Argentine devalue back, devaluation back, I mean could 6% prove conservative or?
Doug Pertz: Obviously you could prove conservative based on what we’ve achieved over the last two years.
Jamie Clement: Yes.
Doug Pertz: Okay. Yes. But in terms of Argentina, what we tried to basically say in Argentina is that we’re right on schedule we think, based on the local inflationary price increases in Argentina to see the recovery that we’ve anticipated. This is a recovery of the significant devaluation versus the U.S. dollar over the course of the six date quarters.
Jamie Clement: Right.
Doug Pertz: We’re right on track with that, and maybe even a little bit ahead. So what that means for the 2019 year is that the translation of the improved business even though is improving in local currency will not provide any growth to our Op income on our reported U.S. dollar basis in 2019. In fact, it may slightly negatively impacted, that’s what we’ve said. And that doesn’t mean -- that doesn’t mean that in the second half of the year, we won’t start seeing that turnaround and that the local currency growth in Argentinian Pesos will start translating into U.S. dollar growth going forward in 2020. That’s what we suggested 2020 mid-year we should see the balance go back to that growth coming through in the U.S. reported U.S. dollars.
Jamie Clement: Okay.
Ron Domanico: I think, I think the important message here. And let me just reiterate this is, I think many investors thought that a lot of what was driving our operating profit growth in the past was the Argentinian business.
Jamie Clement: Right.
Ron Domanico: And that was growing. That was driving our growth. What we’re seeing this year, we’re going to achieve 20 plus percent operating income growth. And in fact it’s not going to come from Argentina, Argentina are going to actually pull down some this year. It’s not negative. I’m not saying it’s a bad business there. I’m not saying it’s not growing on a local currency basis. It is. And we’re very pleased with that margins are very good and they’re improving. But what its saying is that for 2019 it won’t be part of what helps drive us. But what they’re saying is the rest of our business is going to grow 20 plus percent which I think is a great fact.
Jamie Clement: Absolutely. And let me tell you, I mean, I think we all appreciate the additional disclosure around that, because over many many years prior to you all joining it was very very very hard to figure out what was going on there. So we appreciate it.
Doug Pertz: Thank you. Any anything else around that?
Jamie Clement: No, no, no. All good. Thank you very much.
Doug Pertz: All right. Thanks Jamie.
Operator: And due to time constraints, the last question will be a follow from Ashish Sinha from Gabelli & Company. Please go ahead.
Ashish Sinha: Hi. Thanks for taking up the follow ups. They’re going to be pretty quick. So, firstly on the new acquisitions you made $30 million of revenue, how much did you pay, did you disclose. And what is the associated EBITDA from those acquisitions? That’s my first. And then secondly, you talk about the $20 million to $30 million investment. So I just wanted to get a sense of how much of that is intangible CapEx and you also mentioned you’ll be adding people. So how much is the recurring part of that 20 million to 30 million? And then, lastly in terms of buybacks, what’s -- you mentioned you’ve got 106 million left. Are there any criteria or any triggers you look on before deciding to do more? That’s all. Thank you.
Doug Pertz: You want to answer the acquisitions?
Ron Domanico: Yes. So the three acquisitions were obviously small situations like that. You could take maybe a multiple of revenue plus or minus. But in all cases, we’re looking at a post synergized EBITDA multiple of sub six, for deals that size. So in this situation, it’s that same model. And we pretty much have the ongoing discipline to do our M&A in that direction.
Doug Pertz: But it’s immaterial and we don’t think they’re going -- we don’t know when they are going to close because they are subject to anti-trust approval in those countries.
Ron Domanico: And we already have experience in both Brazil and Colombia about how long it takes.
Doug Pertz: So in terms of the additional investments that we’re making and clearly what I was trying to lay out here in terms of the investments in the 2.0. Those will be increases in both in OpEx and we will be supporting some headcount and other initiatives that will specifically support our 2020 returns in the 2.0 business, and therefore much of that will be ongoing expenses going forward. But we’re not going to continue to have those, that headcount here, that additional headcount or the expenses if we don’t get strong returns on. And so it’s investment now to get those returns going forward. And as I said before, it’s in place so if you will or in and instead of having CapEx expenditures this is a view, and should be viewed as a relatively minimal investment based on the returns that we anticipate that we’ll get. The other IT portion that is supporting operational systems, upgrades, improvements and new additions. Much of that is more of a onetime expense in order to implement and roll those out and that will then be coming back down and not be necessarily ongoing.
Ashish Sinha: All right. Okay. And on the buybacks?
Doug Pertz: Yes. We do not have any explicit triggers that we’ve communicated externally. We have agreements with our board on what those triggers might be, but we are not going to disclose them.
Ashish Sinha: Thank you.
Doug Pertz: Thanks, Ashish
Operator: Ladies and gentlemen that concludes our call for today. Thank you for attending the Brinks. Fourth quarter earnings call. You may now disconnect.